Operator: Greetings and welcome to the Quanta Services Third Quarter 2016 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instruction] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your, Kip Rupp, Vice President, Investor Relations, thank you Rupp. You may begin.
Kip Rupp: Great. Thank you, and welcome to the Quanta Services conference call to review third quarter 2016 results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you would like to have Quanta news releases and other information emailed to you when they occur, please sign up for email information alerts by going to the Investors and Media section of the Quanta Services website at quantaservices.com. You can also access Quanta's latest earnings release and other investor materials such as press releases, SEC filings, presentations, videos, audio cast conference calls and stock price information with the Quanta Services Investor Relations App, which is available for iPhone, iPad and Android mobile devices for free at Apple's App Store and at Google Play. Additionally, investors and others should note that while we announce material financial information and make other public disclosures of information regarding Quanta through SEC filings, press releases and public conference calls, we may also utilize social media to communicate this information. It is possible that the information we post on social media could be deemed material. Accordingly, we encourage investors, the media and others interested in our company to follow Quanta and review the information we post on the social media channels listed on our Web site in the Investors and Media section. A replay of today's call will be available on Quanta's Web site at quantaservices.com. Please note that in today's call, we will present certain non-GAAP financial measures. In the Investors and Media section of our Web site, we have posted the most directly comparable GAAP financial measures and a reconciliation of the differences between these non-GAAP financial measures and the corresponding GAAP financial measures. Please remember that information reported on this call speaks only as of today, November 3, 2016. And therefore, you are advised that any time sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include all statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance or that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expressed or implied by any forward-looking statements. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's Annual Report on Form 10-K for the year ended December 31, 2015, and its other documents filed with the Securities and Exchange Commission, which may be obtained on Quanta's Web site or through the SEC's Web site at sec.gov. Management cautions that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake and disclaims any obligation to update or revise any forward-looking statements based on new information, future events or otherwise, and disclaims any written or oral statements made by any third-party regarding the subject matter of this call. With that, I would now like to turn the call over to Mr. Duke Austin, Quanta's President and CEO. Duke?
Duke Austin: Thanks, Kip. Good morning, everyone, and welcome to the Quanta Services third quarter 2016 earnings conference call. On the call, I will provide an operational and strategic overview before turning it over to Derrick Jensen, Quanta's Chief Financial Officer, who will provide a detailed review of our third quarter results. Following Derrick's comments, we welcome your questions. We are pleased with the solid third quarter results we reported this morning, compared to the third quarter of last year revenues increased approximately 5%, operating income in our end margins improved significantly and diluted earnings per share from continuing operations doubled. We are committed to returning our operating margins to historical levels and our third quarter results demonstrates progress towards that goal and earnings potential of the company. We ended the quarter with record 12 month backlog, I would note that our backlog does not yet include a couple of large projects we have announced, primarily due to their ongoing permitting process. We are confidence that these projects will move forward and will include in the backlog when we get better visibility into mobilization. Electric Power segment revenues grew approximately 3% during the quarter as compared to the same quarter last year. In addition excluding a relatively small loss recognized on the Alaska power plant project in the quarter, our Electric Power segment operating income margins raised 10%. These results were driven sound execution of our base Electric Power business. Of note, we had a nominal contribution from the startup of two larger electric transmission projects we discussed previously on our second quarter earnings call. Regarding the Alaska power plant project, in early October we met the contractual performance guaranties required under the contract and have moved in the final punch list completion phase which is on schedule with the previous expectations. We continue to build our base transmission and distribution business while actively pursuing large multiyear transmission project opportunities. Based on the projects we are executing on and have in backlog, we believe large transmission project revenues should increase in 2017, as compared to 2016. These projects complement our day today day base business operations. In addition, we are in various stages of discussion and negotiations with customers on other large transmission project that could be awarded over the coming quarters. But we remain cautious on the timing due to permitting uncertainty. The micro environment in Canada remains challenging for our Electric Power operations, but we are seeing signs of recovery that could have a positive effect going forward. We are taking steps over the past several quarters to adjust the cost structure of these operations. We are pleased with the progress and believe we are well positioned to increased profitability as the markets recover. We compete on a track record for safely executing projects on time and on budget and we will remain disciplined on pricing and project work risk. We are okay with not winning them all. We continue to have a positive long term outlook for Electric Power segment, the end market drivers underpinning the demand for our Electric Power infrastructure services are firmly in place. And we believe will remain so for years to come. We expect our base Electric Power business continue to grow overtime with larger high voltage electric transmission projects, creating opportunity for incremental growth but with some cyclicality. And finally in October, Hurricane Matthew hit the south east coast of the United States, knocking out power to more than 4 million people along its path and significant damaging property and infrastructure. Quanta deployed more than 1,700 power workers to assist utilities with restoring power to customers impacted by the hurricane. Quanta and the rest of the industry were able to quickly restore power, which reflects the benefits of system partnering initiatives that utilities invested in over the past several years. We believe this demonstrated system partnering benefits will continue to drive and for structural replacement for years to come. Our employee safely responded to help others in need and in many cases put themselves in harm's way to do so. We have the best craft man in the world and they performed at the highest level during this event. Turning to our oil and gas segment. Revenues increased more than 8% versus the same quarter last year and increased more than 29% sequentially. Of note sequential operating margins increased considerably in the third quarter primarily due to a significant increase in large pipeline project activity. We expect an improved performance for this segment as we move through 2016. With the second half of the year being meaningfully stronger than the first, driven by a significant increase in large pipeline contributions. On our second quarter earnings conference call, we discuss two large natural gas pipeline projects that were awaiting final permitting before the customer to give us notice to proceed with instructions. We begin construction on the larger of the two projects. A large natural gas pipeline project in the South East United States, in mid-September and expect to complete construction in the first half of 2017. We have also begun initial construction activities on the second project. But now expect the majority of the pipeline construction activities we begin early next year rather than this year. We are currently in construction on ten large diameter pipelines phase across North America and Australia. The vast majority of our current and future pipeline project we see are designed to move natural gas from the Marcellus and Utica shale regions to various demand centers. While a number of others are intended to support coal to gas generation switching efforts, increased local gas distribution demand and further out the movement on natural gas to the coast lines for LNG export. For example, in September, Dominion announce be Atlantic Coast Pipeline LC signed a contract with Spring Rig Constructors LLC to build a proposed 600 mile natural gas Atlantic coast pipeline. Spring Rig Constructors is a joint venture of leading pipeline constructing companies including Price Gregory International, a Quanta Services Company. Pending approval by FERC, the Atlantic Coast Pipeline would run from Harris County, West Virginia, to Robeson County, North Carolina. Construction is scheduled to begin in late 2017 and completion is expected in the second half of 2019. This is a significant project for Quanta and we are pleased to be a part of the joint venture. Because the project is in permitting an approval process, the project is not yet reflected in our backlog. In addition, we are experiencing increase levels of discussions with various customers about large pipeline project in Canada. While some projects are encountering permitting and environment delays others have received the required government approvals and progressing forward. Despite a difficult regulatory environment, we continue to foresee an active pipeline market for the next several years. Somewhere to our Electric Power segment, we have built and are strengthening the best business in our oil and gas segment, which consists of services such as natural gas distribution, pipeline integrity, pipeline logistic management, horizontal direction drilling and engineering. We are positive on the long term demand jobbers for our natural gas distribution and pipeline in integrity services, increasing natural gas demand and new pipeline safety regulations should continue to drive multiyear opportunities in a natural gas distribution market as pipeline integrity programs continue to accelerate. We have been investing in this business and expanding our operations organically into new markets. We ended the quarter with nearly 28,200 employees which is a record and I expect our headcount will continue to increase over the coming quarters. Trapping, training and retaining the workforce we need to safely grow and expand our company and support our customers over the longer term is critical. The developments of our world class training facility in LaGrange, Texas, and our training programs at that facility are the cornerstone of these affords. There is nothing like it in the industry and we believe the facility and our training programs give us a competitive advantage. In addition, we have established a business relationship and are developing a workforce development program with Sam Houston State University that provides students with the industry leading curriculum, build experience and internships for engineering, construction and project management. We believe this relationship and programs is an important step to ensuring we have the access to high quality, well-trained individuals who will become the future of Quanta. And supporting this initiatives, Quanta has commitment to an endowment of $3 million, 2.3 million of which was contributed in the third quarter. In summary, we delivered solid operating performance in third quarter and expect the second half of the year to be significantly better than the first driven by continued execution in our base business and larger Electric and pipeline transmission projects that are ramping into construction. While we are now expecting 2016 results to be in the lower end of our prior guidance, this is primarily due to delayed project starts which should benefit us in 2017. We continue to have a positive multiyear view on the end markets we serve and we believe we remain well-positioned to provide unique solutions to our customers. We will provide our formal commentary and 2017 expectations on the fourth quarter earnings call next February, our qualitative outlook for our business is largely shaped by collaborative relationships with our customers which give us valuable insight into the multiyear infrastructure capital programs. We see increasing activity and opportunity for the award of large high voltage electric transmission projects over the near and medium term and believe large pipeline projects market remains robust with a multiyear cycle ahead of us. As I hope you have taken away from our comments this morning. We are confident that we will finish the year strong and we are optimistic about the potential we see for 2017 and beyond. We are focused on operating the business for the long term and we’ll continue to distinguish ourselves through safe execution and best in class leadership. We will pursue opportunities to enhance Quanta's core business and leadership position in the industry and provide innovative solutions to our customers. We believe Quanta's unique operating model and entrepreneurial mind set, we will continue to provide us the foundation to generate long term value for all our stakeholders. With that I’ll now turn the call over to Derrick Jensen, our CFO for his review of our third quarter results. Derrick?
Derrick Jensen: Thanks Duke and good morning everyone. Today we announced revenues of $2.04 billion for the third quarter of 2016 compared to $1.94 billion in the prior year third quarter. Net income from continuing operations attributable to common stock was $73.1 million or $0.47 per diluted share. These results compared to net income from continuing operations attributable to come stock of $43.2 million or $0.23 per diluted share in the third quarter 2015. Adjusted diluted earnings per share from continuing operations at presented in today's press release was $0.55 for the third quarter of 2016 as compared to $0.30 for the third quarter of 2015. We did have a few items impacting our results for the quarter. First, as Duke mentioned, we made the $2.3 million contribution to an endowment with same Huston State University. Also, we have a slight true up for cost associated with the power plant project in Alaska that impacted the electric power statement by around $3 million. Lastly, our tax rate is quite a bit higher, partially due to a lower proportion of income before taxes from international jurisdiction which are generally taxed at lower statutory rates, largely driven by delays in our Latin American concession woks pushing more of the low tax income into 2017. Also, as part of filling our 2015 Federal tax return. We had changes in estimate related to amount qualifying for the domestic manufacturing tax deduction. Against, our original estimates, these items added up to approximately $0.05 to $0.06 for the quarter. Turning to our broader results, the increase in consolidated revenues in the third quarter of 2016, as compared to the same quarter of last year was primarily associate with an increased in a number and size the oil and gas projects that moved into full constructing during 3Q '16 as well as increased customer spending for gas distribution services. Also contributing to these increases was a favorable impact of approximately $30 million in revenues from acquire companies primarily in our electric power and infrastructure services segment. Our consolidated gross margin was 14.8% in the third quarter of 2016 as compared to 12.1% in the third quarter of 2015. This increase is primarily associated with improved margins in our electric power segment which I will discuss later in my prepared remarks. Selling, general and administrative expenses were $164.3 million in the third quarter 2016 reflecting an increase of $18.6 million as compared to the third quarter 2015. These increase was a result of $11.2 million in higher compensation expenses largely due to greater incentive compensation costs compared to the prior quarter. We accrual incentive compensation proportionate to the levels of income for the year. Therefore the third quarter 2016 has a much higher level of accrual based on the higher operating income as well as the proportionate income the quarter represents to 2016. In addition, we have $3.1 million in higher cost associated with ongoing technology and business development initiatives. The $2.3 million contribution to the endowment and $1 million in incremental G&A cost associated with required companies net of reduced acquisition cost. Selling, general and administrative expenses as a percentage of revenues were 8% in the third quarter 2016 as compared to 7.5% in the third quarter of 2015. We further discuss our segment results. Electric power revenues were $1.22 billion reflecting an increase of $39.3 million when compared to last years' third quarter or approximately 3.3%. This increase was primarily due to approximately $25 million in revenues from acquired companies. Operating margin in the electric power segment increased to 9.7% in the third quarter of 2016 as compared to 6.5% in last year's third quarter. Our margins for the quarter took a slight hit for the power plant, but otherwise reflected solid productivity across most of our electric operations. Last year's third quarter was impacted by significant delays in larger transmission projects which at the time led to an increasingly competitive smaller transmission market because of excess transmission construction resources in the industry. We were also impacted during that timeframe as we transitioned resources from larger projects to smaller projects. Although, we continued to bear the cost of certain underutilized large transmission resources and pressure from a more competitive environment for transmission projects specifically in some regions of Canada. We have adjusted certain of our cost for the anticipated market environment and are better managing transitions between our smaller transmission projects. On the Alaska power plant project, we are continuing the documentation process and related activities to support our claims and recovery efforts to recoup from various parties, a portion of the losses previously recognized on the projects. While we do not know how successful these efforts will be or the timing of any recovery, we have not recognized any loss recovery on the project to date, or forecasted any current recovery. We do not expect to further updates on this project or potential recoveries unless matters change materially. As of September 30, 2016, 12 month and total backlog for the Electric Power segment increased 2.8% and 2.7% respectively when compared to June 30, 2016 due to new contract awards partially offset by normal contract burn. Oil and gas segment revenues increased quarter-over-quarter by $63.5 million or 8.4% to $819.8 million in the third quarter of '16. This increase is primarily from an increase in the number of size, a projects that moved into full construction in 3Q '16, as well as increased customer spending for distribution services. Also contributing to the increase was approximately $5 million of revenues from acquired company. Operating income for the oil and gas segment as the percentage of revenues increased to 8% in 3Q '16 from 7.8% in 3Q '15 and increased significantly from 1.9% in the second quarter of 2016 due to higher revenues associated with large diameter pipeline projects which typically carry higher margins. 12 months backlog for the oil and gas segment decreased by $35.3 million or 1.4%, and total backlog decreased $85.2 million or 2.5% when compared to June 30, 2016. These decreases were due to the timing of awards as well as expected contract burn during the quarter partially offset by the positive impact of scope increases to various contracts. Cooperate and non-allocated costs were comparable quarter-over-quarter. For the third quarter 2016, operating cash flow from continuing operations used approximately $69.3 million and net capital expenditures were $29 million resulting a 98.4 million of negative free cash flow as compared to free cash of $69.4 million for the third quarter of 2015. Free cash flow for the third quarter of 2016 was negatively impacted by the increased working capital requirement associated with the significant increase in the number and size of oil and gas infrastructure projects that moved in full construction in 3Q '16. In addition, last quarter I may made mention of some unbilled production that was moving slower than expected due to the approval process with a customer that resulted in our current working capital balance being a bit higher. Although previous discussions with the customer’s senior management has proven promising on the amount of billing and collections we would achieve this quarter. The approval process has remained demanding and in our opinion at times beyond reason. Progress on the project overall has created a level of adjustments to the contract value largely associates with unit adders as the defined in the contract, which have also contributed to a higher unbilled balance. We have added personnel demands to meticulous requirements that had been presented and subsequent to the quarter have continued to receive positive comments from the customer for resolution. However, during the third quarter, these payment delays negatively affected our free cash flow. As of September, the accounts receivable and unbilled balances with these customers represented 11 days of our overall DSO position of 79 days. Which compares to DSO of 85 days at September 30, last year. DSO's are otherwise lower compared to last September due to more favorable up front billing positions on other contract. Cash flows from operations for the nine months ended September 30, 2016, provided approximately $196.9 million and net capital expenditures were $127.3 million resulting in approximately $69.6 million of year-to-date free cash flow. At quarter end, we had $117.4 million in cash. The end of the quarter, we also had $313.3 million in letters of credit and bank guarantees outstanding and we had $479.7 million of borrowings outstanding under our credit facility. Leaving us with approximately $1.13 billion in total liquidity as of September 30, 2016. Turning to guidance, for the year ending 2016, we expect consolidated revenues to range between $7.65 billion and $7.75 billion. We have lowered our revenue expectations due to delays on several projects which has shifted the revenue from 2016 to early 2017, primarily due to permitting delays as well as some delay due to the rain fall associated with Hurricane Matthew. The slight reduction in revenue expectations has a corresponding impact on our earnings projection for the year and after considering the items I previously mentioned that impacted the third quarter. We now anticipate GAAP diluted earnings per share from continuing operations for the year to be between $1.17 and $1.22. We also anticipate non GAAP adjusted diluted earnings per share from continuing operations to be between $1.51 and $1.56. Despite some of the project timing impacts, we continue to believe the fourth quarter will be our highest revenue quarter of the year at or near record levels for the company. Our current expectations are for electric power revenues to be comparable to last year's fourth quarter. With consolidated revenue growth quarter-over-quarter being driven by the oil and gas segment. Although, we expect to perform higher levels of storm work in the fourth quarter 2016, we still expect margins for the electric power segment to be in the low 8% range for the year. A significant number of the crews deployed to emergency restoration services associated with Hurricane Matthew left existing customer work. Therefore the net increase will be tempered. It is too soon to qualify the net effect of storm work as of today. Also, normal seasonality is expected to negatively impact fourth quarter margins for the segment. Margin in the oil and gas segment are expected to be near 5.5% for the year. The storm work benefiting the electric power segment in October had a negative impact on the oil and gas segment delaying start times on certain projects by a couple of weeks. Which contributed to our overall lower revenue expectation. Our margins expectations are still attack for these individual projects. But the lower contributions to the quarter will somewhat offset the overall contribution of storm work to the consolidated quarter. We estimate that interest expense will approach $15 million for 2016, and are currently projecting our GAAP tax rate for the year to be around 41.5%. Also our annual 2016 guidance reflects current foreign exchange rate environment, fluctuations of foreign exchange rates could make comparison to prior periods difficult and cause actual financial results to differ from guidance. The purposes of cash related diluted earnings per share for the year ended 2016, we are assuming 157.3 million weighted average shares outstanding. CapEx for all of 2016 should be approximately $205 million to $215 million and this compares the CapEx for all of 2015 of $210 million. We are committed to maintaining our strong balance sheet and financial flexibility which positions the company for continued internal growth and the ability to execute on strategic initiatives. We will continue to focus on the strong cash flow of our base business and concentrate on mitigating the more pronounced fluctuations in cash flow associated with the working capital requirements of larger projects. Overall, our capital priorities remain the same with the focus on ensuring adequate resources for working capital. Capital expenditures and organic growth with an opportunistic approach towards acquisitions and other strategic investments. This concludes our formal presentation. And we will now open the line for Q&A. Operator?
Operator: At this we will be conduction a question-and-answer session. [Operator Instruction] Our first question comes from Dan Mannes with Avondale Partners. Please proceed with your question.
Dan Mannes: First of all, nice quarter, happy to see the margins, particularly in oil and gas segment. I did want to delve in a little deeper there. Would you consider the ramp particularly on large projects some of which started late in the quarter, can you maybe help us out with how those could trend over the next couple of quarters, assuming normal execution and also taking into account maybe the seasonality particularly with Canada?
Duke Austin: Yes Dan, in general as we move into the fourth quarter obviously we are on those, we have taken seasonality into consideration with those projects. They are large, the risk profiles are different. So I think we’ve given prudent guidance as we move forward into the fourth quarter. I’ll let Derrick kind of talk through it.
Derrick Jensen: Yes, I agree with everything that Duke said. As it relates to rolling fast the fourth quarter Dan, and think about seasonality, it's too soon for us to really think about how seasonal plays will play in '17. Some of these revenues pushing out of the fourth quarter definitely contributed to first half of '17, which in many ways would appears as though it bodes well for a quarter-over-quarter comparison in that regard. But I don’t know that we have yet made a determination how we think the back half of the year will play out for '17 otherwise, to be able to comment.
Dan Mannes: Got you, the second thing I want to ask also on the oil and gas segment is, we’re starting to hear some more positive trends particularly as it relates to drilling activity and certain activities in certain area, are you seeing any uplift in terms of the smaller work and gathering work which I know has been under a lot of pressure for much of this year?
Duke Austin: Dan I think the micro environment on the gas side underpinning demand of the need for large pipe as you take away from the shale regions in the Marcellus and Utica, the need for mid-stream will come back and you'll see some smaller pipe. They’re all moving different product as well across and in to the Gulf Coast. So yes I think its coming back some. It's not prolific by any means, but the large pipe should overcome and any kind of short fall as you would see in that area and the outlook is good. We continue to bid a lot of work and see a lot of work in that areas, so we're optimistic.
Dan Mannes: Got it. Thanks for the color guys. Appreciate it.
Operator: Our next question is from Noelle Dilts with Stifel. Please proceed with your question.
Noelle Dilts: I wanted to start on the transmission side of the business. Going back to last quarter in know there are few kind stripped out some of the charges and looked at the U.S. market you're margins were quite good. Looks like continued progress there this quarter. So could you speak the trends you're seeing from profitability stand point in the U.S. and Canada. And how you see that attracting through 2017?
Duke Austin: The transmission business it looks good, there has been other larger projects or it’s the timing. So we’re always concerned with the timing on the larger projects of our larger transmission business on really both sides of the business. But the electric side we are started -- we did starts some projects. We are on three big projects now. So we are moving forward on some bigger ones. But the underpinnings underlying the base business as we’ll continue to talk about is good, there is demand there, we continue to grow that business we're excited about it as we stated we’re headcounts higher, we’ll continue to invest in our work forced. So we like we see the capital spend of our customers, we’re taking to them daily, so we're able to understand where they're going and you could look at what they say on their earnings calls and we believe the capital spends will increase over the next few years, especially that we can see. So the underlying business will continue to grow with some of the larger projects will come in on top of that. And Canada just a little bit on that. It's more depended on your energy on your oil and where oil pricing is. So it's really difficult for us to try to pin that down on where there larger projects are going. We have continued to get our cost structure in line with what the market is. We do that some nice projects in backlog that we believe will move forward in '17. So we're in pretty good shape for the foreseeable the future in Canada. [Multiple speakers]. Just a color on -- from a marks perspective, you've seen here in the third quarter that if we exclude the power plant, that we're posting a number effectively double-digits margins in the electric power segment. We talked about our ability to be back there. That is partly because of the cost control efforts in Canada, but it’s also because of the strong margins in U.S. The U.S. market as it stands here today for 2016, we are executing at the double-digits margin profile. The pressure for the year is partly coming from MLP obviously, but as well as some of the pressure associated with the Canadian market. But that's where our cost control efforts have predominantly been and as we look forward we see the opportunity working on couple of those larger projects in '17. So a combination of the cost control and those larger projects. We think bode well for Canadian margins. At least two lesson the dilution that’s currently being created by Canada. But the U.S. market is still operating well and we think we are very much focused on returning the Canadian margins to a greater benefit.
Noelle Dilts: Thanks, it was very helpful. So my second question is just kind of broader question on the pipeline base, I think for anyone following the industry is sort of continue to see headwinds about projects just getting pushed, basic nine months from '17 into '18 or '18 into '19. My question for you is, have any of these delays changed how you are thinking about '17, or is it sort of par for the course and maybe we’re just looking at a more extended cycle?
Duke Austin: Yes, I think we have talked about it in the past being broader and longer versus any peaks and that still holds true. We watched all these larger projects and our GAAP business and to make sure we give good guidance on when we think they are going to go. We see some pushes, we build that into kind of our system when we look at things. Some of it you can't tell when it's coming and it just happens. So -- but for the most part I think we have that under control and we understand when these projects are going to go. It won't allow us to give guidance on a three month interval, but we should be able to get some qualitative comments. It says the micro demand on large diameter pipe is there, there will be some permitting delays that we’ll build into any kind of guidance we give along with seasonality. But I do think the next few years on long diameter pipe especially look really good for us.
Noelle Dilts: Okay thank you.
Operator: Our next question comes from Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie Cook: I guess the couple questions Derrick, how dilutive was Canada to earnings this year? And then just a follow up on that, you talked about within oil and gas the one project being differed -- is getting pushed into 2017, can you quantify that? So that’s my nitpicky question. And my real question is Derrick or Duke, whoever wants to answer this, are either -- I understand you don’t want to give specific margin guidance for 2017. But are there any headwinds that we don’t -- we can make our own assumptions on the market, are there any headwinds that you know of today that would depress margins in '17. Because I am -- I mean I’m just thinking we have Alaska that’s gone, we have Canada which should be less of a headwind, you’ve restructured, I just don’t understand why margins shouldn’t be materially higher when we are thinking about '17 versus '16? You had the endowment, you are investing in technology, there just seems to be a whole bunch of negatives that go away in '16 that would imply a much higher EPS number for '17?
Derrick Jensen: Jamie, on the first part of diluted Canada, I don’t know that I could comment to exactly what the operating income type levels of Canada, but I can tell you that overall Canada, for at least electric power, you are talking about is low single digital margins in comparison. The international revenues right now run about 15% of our consolidated revenues. That includes some Latin American, some Australia work, but from Canada that gives you, the state is probably running in that 10% to 15% range. So you can kind of do some backwards math looking at the relative dilution. Oil and gas pushed to '17 quantifications, I would tell you that the largest portion of our revenue adjustment for the year is associated with those individual oil and gas projects. And then for margin guidance for '17, I can color first and just simply say that I think your assessment is not unfair, mainly you've been if we just look at the elimination of MLP year-over-year. We don’t know that we're going to see any sizable moves from a cost structure perspective, from G&A perspective. So the rest is going to come down largely due to execution in the timing of the project, but I'll let Duke comment more on that.
Duke Austin: Jamie, qualitatively I would say, everything said was accurate. We do see good markets in '17. I think we can -- if it comes down to execution, which I am confidently we can execute. So I like to market, I like where we are going. I think the company is positioned well, with boots on the ground. We can build linear construction very-very well. So I am confident in the company and I am confident in the markets in 2017. The thing that gives me pause would only be Canadian economy and oil pricing there concerns me a bit and then the permeating. So we'll be watching some of that as we move forward. But that's only on the large projects and I'll continue to say our best business continues to go. The right direction and we see that go into right direction in 2017.
Jamie Cook: Okay, thanks and we'll get back to you.
Operator: Our next question comes from the Tahira Afzal with KeyBanc Capital Markets. Please proceed with your question.
Tahira Afzal: Duke, if you all look at your 12 month backlog, its showing sort of a 5% type of increase. But if you look the new work you could potentially book, does that seems to imply that directionally your revenue growth could be 5% plus, even in the high single-digits potentially?
Duke Austin: Yes I don’t want to get into exactly where it’s coming from a percentage. What I do know is that, the base business is growing on both segments. What gives us pause on saying there's growth on top is the start of the larger projects. And so it gives -- we do, we are building our backlog, we continue to build our backlog. It’s just the starts and when we put this larger projects in backlog. So I’m saying that the larger projects complicates that whole scenario and we'll continue to be conservative about how we approach that.
Tahira Afzal: Got it, okay, I get that. And Duke, as really a follow-up to that, when we look at some of these pipeline projects and how they're playing out or sizing up, it does seem that your normal seasonality will be somewhat different as we go into 2017. So with civil trade or the unmentionable project really trickling into the first half, would you say that first half is comparatively going to be strong as we see it right now?
Duke Austin: Yes. It is. It should there is no reason why the first half won't be stronger than the first half of this year based on the work we have on going. The concern is the second half and what that looks like. So we'll be trying to provide better guidance there in February on that.
Tahira Afzal: Thanks very much Derrick.
Operator: Our next question from the Andrew Kaplowitz with Citigroup. Please proceed with your question.
Alan Fleming: It’s Alan Fleming on for Andy this morning. Duke, can you provide an update on pricing in your major businesses? Have you seen any lessening in price competition within electric transmission as some of the large project activity has started to rebound here? Has there been any change in behavior from customers on the main line pipe side as capacity seems like it's gotten a little bit tighter here, especially in the second half of the year?
Duke Austin: On the first part of your question from our standpoint, we’re pretty disciplined about how we did all the time. Our customers -- we continue to put the same profile, we look at risk its how we price, and so our risk profile has not changed. As we get busier, our utilization rates and things of that nature go up and it allows our margins to enhance. So as we get busier, as the larger projects are there, we get better utilization. As we talked about in the past, we had people that were on the side lines that are now going to work on some these larger projects, or we weren't as efficient on the smaller ones. And so you’ll start to see -- that’s why you are starting to see some of the margin enhancement as well as our base business continues to growth. So that will allow some utilization there. And our Canadian operations, we have right sized of some that and we’ll move forward there. It's really about Canada for us on the margins to make sure that we get that in line and some other projects there I would say are out of our pricing discipline and we’ll allow the others to win those and we’ll continue to stay discipline on how we did work. And on the GAAP side, we continue to bid the same way, it's no different.
Alan Fleming: Okay. And to follow up on Canada, I think in your prepared remarks you said you are starting to see some signs of a recovery. Can you give us a little more color on what you are seeing that gives you a little bit more optimism there?
Duke Austin: I think our backlog, we have a large project in our backlog as everyone is aware of and that will go into construction. As we stand today in 2017. So it allows us to be better utilized there and gives us some flexibility on what we do in Canada. I would say the overall market is contingent on oil pricing in many ways and so as oil fluctuates, so does Canada. So we watched that as we move forward and we’ll continue to adjust with the markets that we see.
Alan Fleming: Okay. And Derrick, a question for you on cash flow. It seems like a lot of the weakness this quarter was timing-related in working capital, and obviously this delayed receivable. But how soon do you think we can see a return to more normalized cash conversion levels for you guys?
Derrick Jensen: One of the thing that -- the primary thing I don’t have -- give guidance on historically has been cash flow because of very much of those timing thing. I’ll tell you that here in the fourth quarter even to the extent that I get better collections on historic kind of unbilled balances, I think I am going to have a level of production on that project such that I’m going to be probably flat this quarter versus yearend. So right now I think I am going to ahead and say that and it wouldn’t surprise me if my ending debt balance for the year is fairly comparable to my current debt balance. And I think you will see some of that maybe roll more into the first part of next year.
Alan Fleming: Okay. Thank you guys, good luck.
Operator: Our next question is from Chad Dillard with Deutsche Bank. Please proceed with your question.
Chad Dillard: In transmission, given that you are entering the plus 10% margin territory, and you are in the early stages of ramping up large transmission. I'm just trying to think through the upside scenario for margins over the next year or so. I look back to 2012 time frame and I see about 12% margins. How much of an analog with that time frame to where we are now? And has anything in your business or end-market changed which would either limit you to around 12% or allow you to suppress that previous peak?
Duke Austin: Yes, again the market will be in the 10% to 12% range when things are good, as we talk about in the past to double-digits range. So what I would I say is we're taking incremental steps and it's not something -- it’s something that will be incremental to us sequentially as we move along into next year? The market is not -- we’re seeing where we are winning work, were bidding work, we’re also not winning work. So it's hard to say exactly where the margins will go. We’ll continue to try to get in our historical range.
Derrick Jensen: Relative to 2012. One other thing to point out is that, you may recall that was our largest storm work year really in Quanta’s history and we did over $250 million worth of storm work, so that very much contributed to the margins begin over 12%. And at the same time in that timeframe we were working on a significant number of larger projects. So although we do have the opportunity to have larger projects contributing as we go forward. I don’t think we are seeing it at the level of that. So there are a couple of dynamics that kept us very much on the upper side of that range. That is we look forward we’d probably say that would be a little aggressive to be thinking that it would be that high in the near term.
Chad Dillard: That's helpful. And pivoting over to the pipeline side, can you speak to what you are seeing on distribution? What are your customers telling you about planning for 2017, and then how should we think about that?
Duke Austin: The distribution business is a good business. It's a steady business we see the replacement with FENSA and some the regulation that you see, that’s a long turn replacement program across the country, it’s broad based. I think you'll continue to see that over the next 10 years to 15 years and you'll continue to see us grow in that business.
Chad Dillard: Great. Thank you very much.
Operator: Our next question comes from Andrew Wittmann with Robert W. Baird. Please proceed with your question.
Andrew Wittmann: I wanted to ask on the pipeline segment, and try to get some context around the opportunities that are out there by asking you if you can give us a sense of the dollar amount of projects that you believe you've won but have been unable to announce. These projects that are held up by permitting or other factors, and what the duration of those that you can best estimate the duration of time that's going to take to get those released?
Duke Austin: Yes I think from our stand point, the larger projects, there is many of amount there. It's about which ones go and they give any sort of guidance on that. Is very difficult. What I would say is we can see out fairly long here in the macro piece of it is there -- the underpinning demand is there from a power side. So it's a robust environment, robust bidding environment. It’s the timing, the permitting and things like that. That's not our expertise and we can't get guidance on that. What we can say is we do see the company in a good position to win work and execute work and in the next few years.
Andrew Wittmann: Okay. An addendum to that last question, then. Can you give us some thoughts about -- have you been seeing more mainline projects coming your way over the last 18 months or so? Or is the body of work that you're looking at potentially doing, is it the same stuff that's been contemplated for many years? In other words, has the oil price declines, has that affected the amount of new work that is coming your way in terms of the opportunity set?
Duke Austin: If you look at the pipeline business, it's much cheaper to move product through pipe than it is rail and if you look at what was railed in the past it becomes uneconomical. So you starting to see more people put pipelines on the drawing board for where rail lines may have been in the past. So I think the overall economics of the large pipeline in moving product is there, it continues to be a robust bidding environment and a multiyear bidding environment. So we are having contacts with our customers negotiating, looking at where we’re with them and we like the environment.
Operator: Our next question comes from Matt Duncan with Stephens. Please proceed with your question.
Matt Duncan: First question I've got is back on the oil and gas segment for a little bit. Trying to think through the project timing as we look out into next year, certainly not looking for guidance for the year, but really more the flow of what you see in backlog. So you've had some stuff that's pushed into the first half. Sounds like you are going to have a pretty good first half. Atlantic Coast isn't supposed to start until later in the year, so it sounds like there's the potential for a little bit of an abnormal flow to the year with an air pocket in the third quarter, which would normally be the high-water mark for the year. Should we be thinking that's the flow of the year unless you pick up a project in between Sabal Trail and other big stuff you're working on and when Atlantic Coast goes?
Duke Austin: Yes, again there is a multitude of projects we were looking at. We have talked about Atlantic Coast, it’s one of them. We don’t necessarily -- we have our own timing in a way that we think about where I would say the second half is -- we are not started on it yet, so it will take till February that kind of figure that out when we give guidance and it's too early to say what the third quarter would look like there. Again, I see the same thing you see when you looking at it from your view point. So we will try to be transparent when we give guidance there in February, it's just too early today.
Matt Duncan: Yes, that helps. Then I want to come back to thinking about margins. So you've laid out targets of 10% to 11% for electrical and 9% to 12% for oil and gas. Electrical, you're now hitting the low end of that with Canada as a drag. And Fort Mac West is going to start up presumably relatively early next year. Is there any reason, going back to what Jamie was asking earlier, is there any reason why you can't get into the 10% to 11% range in electrical next year? And then with oil and gas, the large-diameter stuff is the best margin work that you do. I understand that there's probably drags from really low profit levels on more of the gathering work you're doing. But, Derrick, if you can help us think through the moving pieces of all these segments, and especially in electrical, I'm having a hard time understanding how you don't get into the 10% to 11% range.
Derrick Jensen: Yes, so as it relates to this quarter, and again it’s a good power plant, you saw margins that were in the 10% range. But it's important to remember that that’s also our highest margin quarter typically from the seasonality perspective. And so when you model out how we think the fourth quarter is going to play, I think you going to model out you are going to see margin dropping below 10% in the electric power segment because of that seasonality. We think the seasonality will definitely be impacting the quarters of 2017. For the last few years you have seen a lot less of that seasonal dynamic because of the contribution of Canada. But as we stand here today, you see less that contribution of Canada both form volume perspective as well because the fact of the overall performance of Canada is contributing at a lower margin of level. So although it’s too soon to comment as to exactly how guidance will play out. I think those are important factors to think about. When you think about our ability to maintain double-digits margins in every quarter '17. I think seasonal impacts will exist and so, that will be putting some level of pressure on our ability be at that double-digits throughout the year. Relative to oil and gas, it is a big factor as to win the individual project starting stop in the individual quarters. Thinking about the second quarter commentary that we provided on the fourth quarter of this year. We talked about potential for the ability for the margin to see an uptick. As we stand here today, we are not seeing that because of the timing in those projects, some of those projects pushing out of the fourth quarter. So any those individuals stocks are stops a project and very much influence the mix of the work in the quarter and therefore for the year and that's the biggest portion of what drives our -- the level of margin being up in that double-digits range for oil and gas at the stage. Higher levels at given times in given quarters for the large-diameter pipe can definitely give us the ability to be in there, but as Duke’s commentary, he talked about seemed to be a comment as to how the back half of the year will play out. To be up a really feel how -- the ability to be a double-digits margins right now.
Duke Austin: I want to be come back to what Derrick said on the gas side, the mix of work matters a lot. As our base work, the distribution and all the underlying businesses within that, that the seasonality does matter there. So you should be cognizant of that when you're looking at guidance.
Matt Duncan: Yes, very helpful guys. Thank you.
Operator: Our next question comes from John Rogers with D.A. Davidson. Please proceed with your question.
John Rogers: Just a couple of things. First of all, in terms of the Atlantic Coast Pipeline, getting an award before projects have permits seems somewhat unusual to what we've seen in the past. Is that something that we are going to see over the next couple of years, as people try to lock up capacity in this market? And have you got other projects out there where you're signed up, but just can't announce yet?
Duke Austin: Yes John I mean I think in generally you could see that happen quite often, and it has happened quite often and does happen quite often. So the FERC permit is one piece of it. Traditionally the gas permit has been a process with FERC that’s been fairly easy. It is not today, so we’ll look at how we put things in backlog and talk about it to the investment community. And yes we are looking at large projects on a broad spectrum both in Canada, Australia, and in U.S. and always have on the front end of this project. The environment is as good as I’ve said, the undertaking demand there, there is a need for natural gas, all across the lower 48, Canada just from the power plant side so the coal to gas switching happens you start to see the LDC use more natural gas. We were bullish on the pipe business for the foreseeable future here.
John Rogers: Okay. And then as a follow-up, are you prepared to give us any thoughts or -- relative to telecom business, what you are thinking there?
Duke Austin: What I would say about the telecom business is, as we’ve stated in the past that we plan on getting into the business. It's a linear construction, we like the business, we see a lot of demand there and I’ll leave with that.
Operator: Our next question comes from Alex Rygiel with FBR. Please proceed with your question.
Alex Rygiel: Duke, can you comment on how a change in leadership in DC in week could affect the pace of permitting? If so, is that a catalyst in 2017 or later?
Duke Austin: Yes Alex, I don’t want to say it can’t get any worst, because it always probably could. So what I would say is that, the environment is pretty tough today. The industry has always figured out a way to adapt on any kind of administration. So as the administrations go and come, it does change. It could be a better, it could be a worst. But the underpinning demand, the need for natural gas, the need for the infrastructure is great and I think under either administration you’re going to see infrastructure get built.
Alex Rygiel: Could you spend a minute talking a little bit more about Australia? Is that a marketplace you are emphasizing more? Is it a marketplace that has good margin profile at this time? Or are you de-emphasize that?
Duke Austin: No, we like Australia. Again we look at that a long term growth for Quanta. We’ll continue to grow our platform there. We actually made an electric acquisition, a smaller one within the quarter to grow our platform. So yes, it's suppressed a bit, but I like our operations there. We are doing well and this market is especially -- and I think you will see us grow that market out. And we’ve stated in the past, if it's not $1 billion, in $100 million of operating profit, we will exit that area. So I mean we are very optimistic about Australia, we like it.
Alex Rygiel: Thank you very much.
Operator: There are no further questions. At this time I would like to turn the call back to Duke Austin for closing comments.
Duke Austin: I would like to thank you all for participating in the third quarter 2016 conference call. We appreciate your questions and your ongoing interest in Quanta Services. Thank you. This concludes our call.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time. And have a great day.